Operator: Good afternoon, and welcome to WEC Energy Group's conference call for Fourth Quarter and Year-end 2020 results. This call is being recorded for rebroadcast. [Operator Instructions]. Before the conference call begins, I remind you that all statements in the presentation, other than historical facts, are forward-looking statements that involve risks and uncertainties that are subject to change at any time.  Such statements are based on management's expectations at the time they are made. In addition to the assumptions and other factors referred to in connection with the statements, factors described in WEC Energy Group's latest Form 10-K and subsequent reports filed with the Securities and Exchange Commission could cause actual results to differ materially from those contemplated.  During the discussions, referenced earnings per share will be based on diluted earnings per share, unless otherwise noted. After the presentation, the conference will be open to analysts for questions and answers.  In conjunction with this call, a package of detailed financial information is posted at wecenergygroup.com. A replay will be available approximately 2 hours after the conclusion of this call.  And now it's my pleasure to introduce Gale Klappa, Executive Chairman of WEC Energy Group.
Gale Klappa: Good afternoon, everyone. Thank you for joining us today as we review our results for our calendar year 2020. First, I'd like to introduce the members of our management team who are here with me today. We have Kevin Fletcher, our President and CEO; Scott Lauber, our Chief Operating Officer; Xia Liu, our Chief Financial Officer; and Beth Straka, Senior Vice President of Corporate Communications and Investor Relations.  As you saw from our news release this morning, we reported full year 2020 earnings of $3.79 a share. Xia will provide you with more detail on our financial metrics in just a few minutes.  But first, I'm pleased to report that we delivered a record year on virtually every meaningful measure of performance from customer service to network reliability to earnings per share, despite the challenges posed by the COVID-19 pandemic.  Our focus on efficiency, on financial discipline and an encouraging rebound in energy demand during the second half of the year resulted in the highest net income from operations and the highest earnings per share in company history. And throughout the difficulties of a pandemic year, we also accelerated our support for the communities we serve.  In total, our companies and foundations donated more than $20 million to nonprofits across our service area, including more than $2 million to direct COVID-19 relief efforts. We also made significant progress on diversity and inclusion. We spent a record $303 million with diverse suppliers during the year, and through our Board refreshment, 46% of our Board members now are women or minorities. In addition, we set new aggressive goals as we continue to improve our environmental footprint.  In fact, I'm pleased to report that based on preliminary data for 2020, we reduced carbon dioxide emissions by 50%, below 2005 levels, and we have, as you know, a well-defined plan to achieve a 55% reduction by the end of 2025. Over the longer term, we expect to reduce carbon emissions by 70% by 2030, and as we look out to the year 2050, the target for our generation fleet is net zero carbon.  Our new 5-year capital plan lays out a road map for achieving these goals. We call it our ESG progress plan. The largest 5-year plan in our history. It calls for investment in efficiency, sustainability and growth, and it drives average annual growth in our asset base of 7% with no need for additional equity. Highlights of the plan include 1,800 megawatts of wind, solar and battery storage that would be added to our regulated asset base in Wisconsin.  And we've allocated an additional $1.8 billion to our infrastructure segment, where we see a robust pipeline of high-quality renewable projects, projects that have long-term contracts with strong creditworthy customers. All in all, our plan positions us to deliver among the very best risk-adjusted returns our industry has to offer.  And now let's take a brief look at the regional economy. It was, of course, an unusual year for everyone, but many of our commercial and industrial customers prove to be quite resilient, providing essential products and services, such as food, plastics, paper, packaging and electronic controls. The latest available data show Wisconsin's unemployment rate at 5.5%. That's more than a full percentage point better than the national average.  And as we look to the year ahead, we see positive signs of continued growth. For example, Green Bay packaging is building a major expansion of its mill in Northeastern Wisconsin. It's a $500 million addition and is expected to be completed later this year. The Foxconn, Komatsu mining, HARIBO and Milwaukee Tool projects that we've reported to you in the past are all moving forward as well. So we remain optimistic about the strength of the regional economy and our long-term sales growth.  Finally, I know many of you are interested in our rate case calendar for the year ahead. As you know, under normal circumstances, our Wisconsin Utilities would be filing rate reviews later this spring for energy rates that would go into effect on January 1, 2022. Of course, we're in the middle of anything but normal times, and I can tell you that we've begun discussions with the commission staff, and we'll be talking with other major stakeholders to determine whether a 1-year delay in a filing would be in everyone's best interest. I expect the final decision on this around the end of the first quarter.  And now I'll be happy to turn the call over to Scott for more detail on our sales results and our forecast for 2021 as well as an update on our infrastructure segment and our O&M performance. Scott, all yours.
Scott Lauber: Thank you, Gale. Turning now to sales. We continue to see customer growth across our system. At the end of 2020, our utilities were serving approximately 11,000 more electric and 27,000 more natural gas customers compared to a year ago. Retail electric and natural gas sales volumes are shown beginning on Page 17 of the earnings package. Overall, retail deliveries of electricity, excluding the iron ore mine, were down 2.1% compared to 2019, and on a weather normal basis, deliveries were down 2.9%.  Natural gas deliveries in Wisconsin decreased 7.9% versus 2019 and by 2.4% on a weather normal basis. This excludes gas used for power generation. On the electric side, you'll note the positive trend that we have seen in residential sales has continued. Importantly, it has counterbalanced the weakness in small commercial and industrial sales caused by the pandemic. Meanwhile, large commercial industrial sales, excluding the iron ore mine, were down 7.1% for the full year compared to 2019 on a weather normal basis. However, these sales were only down 4.6% for the fourth quarter, a notable positive trend, reflecting the recovery of Wisconsin's economy.  Now I'd like to briefly touch on our 2021 sales forecast for our Wisconsin segment. We are using 2019 as a base for 2021 retail projections. We're using 2019 because it represents a more typical year. We are forecasting a decrease of 1.5% in weather normal retail electric deliveries, excluding the iron ore mine compared to 2019. This would represent a 1.4% increase compared to 2020. We expect large commercial and industrial sales to continue to improve and anticipate the same positive offsetting relationship between residential sales and small commercial industrial sales.  For our natural gas business, we project weather normalized retail gas deliveries to decrease by 2.4% compared to 2019. This leads the projected sales outlook compared to 2020 relatively flat. With this in mind, we remain focused on operating efficiencies and financial discipline across our business. We lowered operations and maintenance costs by more than 3% in 2020, and we continue to adapt new technology and apply best practices. We plan to reduce our operations and maintenance expense by an additional 2% to 3% in 2021.  I also have an update on our infrastructure segment. The Blooming Grove and Tatanka Ridge projects are in service now and came in ahead of time and on budget. As a reminder, our Thunderhead Wind investment is projected to go in service by the end of the third quarter. We expect this segment to contribute an incremental $0.08 to earnings in 2021.  And now I'll turn it over to Kevin for his update on utility operations.
Joseph Fletcher: Thank you, Scott. Throughout 2020, we kept the energy flowing to our customers safely and reliably. Our largest utility, We Energies, was named the most reliable electric company in the Midwest for the tenth year running, and our Peoples Gas subsidiary was named the most trusted brand and a customer champion for the second year in a row by Escalent, a leading behavior and analytics firm. Now I'll review where we stand on current projects and our ESG progress plan. As you heard in our last call, the 2 Creek solar farm is now operating. As we've mentioned, this is a very large project.  In fact, just days after achieving commercial operation this past November, our share of this project accounted for more than 20% of the solar output in the entire MISO generation market. Also in Wisconsin, We Energies is making progress in the approval process for two liquefied natural gas facilities, which would provide enhanced savings and reliability during our cold winters. If approved, we expect to be in construction in the fall of this year and to invest approximately $370 million in total to bring the facilities in operation in 2023.  And as Gale just mentioned, our ESG progress plan includes 1,800 megawatts of wind, solar and battery storage. Filings with the Wisconsin Commission for a number of these projects will begin in the first quarter.  Turning to Illinois. As you may recall, we are in the midst of a rate review for one of our smaller subsidiaries, North Shore Gas, which serves approximately 160,000 customers in the northern suburbs of Chicago. Rates for North Shore Gas were lapped set more than 5 years ago before we acquired the company. Since then, we have consistently invested capital to serve our customers while reducing operating costs. The Illinois Commerce Commission has set a schedule for concluding the case. Greetings are expected to begin in late April with the final order in September.  And with that, I'll turn it back to Gale.
Gale Klappa: Kevin, thank you very much. We're confident that we can deliver our 2021 earnings guidance in the range of $3.99 a share to $4.03 a share. This represents earnings growth of between 7% and 8% of our 2020 base of $3.73 a share. And you may have seen the announcement that our Board of Directors, at its January meeting, raised our quarterly cash dividend to $0.6775 a share for the first quarter of 2021. It's an increased focus of 7.1%. And the new quarterly dividend is equivalent to an annual rate of $2.71 a share, and this marks the 18th consecutive year that our company will reward shareholders with higher dividends.  We continue to target a payout ratio of 65% to 70% of earnings. Right smack dab in the middle of that range now, so I expect our dividend growth will continue to be in line with the growth in our earnings per share.  Next up, Xia will provide you with more detail on our financials and our first quarter guidance. Xia?
Xia Liu: Thanks, Gale. Our 2020 earnings of $3.79 per share increased $0.21 per share compared to 2019. Our favorable 2020 results were driven by a number of factors: These included the execution of our capital plan, rate adjustments at our Wisconsin Utilities, ROE improvement at American transmission company, production tax credit in our infrastructure business and continued emphasis on operating efficiency.  These factors helped us to overcome the sales impact of COVID-19 and mild winter weather, and all of our utilities met their financial goals in 2020. The earnings package placed on our website this morning includes a comparison of 2020 results on Page 21. I'll walk through the significant drivers impacting our earnings per share.  Starting with our utility operations, we grew our earnings by $0.22 compared to 2019. First, O&M expenses were favorable. This includes $0.08 from lower day-to-day O&M expenses and $0.09 from lower sharing amounts in 2020 at our Wisconsin Utilities. Second, despite the impact of COVID-19 and reduced wholesale and other margins, rate adjustments at our Wisconsin Utilities continued capital investment and fuel drove a net $0.21 increase in earnings. Third, we had $0.12 of higher depreciation and amortization expense and an estimated $0.05 decrease in margins related to mild winter weather year-over-year. These factors partially offset the favorable items we discussed.  Overall, we added $0.22 year-over-year from utility operations. Earnings from our investment in American Transmission Company increased $0.08 per share compared to 2019. Recall that $0.07 of $0.08 were driven -- was due to ROE changes from FERC orders issued in November 2019 and May 2020, $0.04 resulted from the November 2019 order and $0.03 from the May 2020 order and $0.01 came mainly from continued capital investment.  Earnings at our energy infrastructure segment improved $0.05 in 2020 compared to 2019, primarily from production tax credits related to wind farm acquisitions. These include the Coyote Ridge Wind Farm placed in service at the end of 2019. Additional 10% ownership of the upstream wind energy center and the Blooming Grove Wind Farm came online in early December. Finally, you'll observe that we recorded a $0.09 charge in Corporate and Other to account for the make-whole premiums we incurred in the fourth quarter as we refinance certain holding company debt to take advantage of lower interest rates. The remaining $0.05 decrease is related to some tax and other items, partially offset by lower interest expense. In summary, WEC improved on our 2019 performance by $0.21 per share.  Now I'd like to update you on some other financial items. Our effective income tax rate was 15.9% for 2020. Excluding the benefit of unprotected taxes flowing to customers, our rate was 20.2%.  Looking to 2021, we expect our effective income tax rate to be between 13% and 14%. Excluding the benefit of unprotected taxes flowing to customers, we project our 2021 effective tax rate to be between 19% and 20%.  As in past years, we expect to be a modest taxpayer in 2021. Our projections show that we will be able to efficiently utilize our tax position with our current capital plan.  Looking now at the cash flow statement on Page 6 of the earnings package. Net cash provided by operating activities decreased $149.5 million. Our increase in cash earnings in 2020 more than offset by higher working capital requirements, primarily related to COVID-19 and by higher pension contributions.  Total capital expenditures and asset acquisitions were $2.9 billion in 2020, a $345 million increase from 2019. This reflects our investment focus in our regulated utility and contracted renewable businesses at our Energy Infrastructure segment.  In terms of financing activities, in the fourth quarter of 2020, we opportunistically refinanced over $1 billion of holding company debt, reducing the average interest rate of these notes from 3.3% to 1.5%.  We continue to demonstrate our commitment to strong credit quality. As expected, our FFO to debt ratio was 15.4% in 2020. Adjusting for the impact of voluntary pension contributions and customer arrays related to COVID-19, our FFO to debt was 16.9% in 2020.  At the end of 2020, our ratio of holding company debt to total debt was 28%, and below our 30% target. In addition, as Gale mentioned, we have no need for additional equity over the 5-year forecast period.  Finally, let's look at our guidance for the first quarter of 2021. Last year, we earned $1.43 per share in the first quarter. We project first quarter 2021 earnings to be in the range of $1.45 per share to $1.47 per share. We have taken into account mild weather to date, and this forecast assumes normal weather for the rest of the quarter. For full year 2021, we are reaffirming our annual guidance of $3.99 to $4.03 per share. With that, I'll turn it back to Gale.
Gale Klappa: Xia, thank you so much. We're on track and focused on delivering value for our customers and our stockholders. Operator, we're ready to open it up for a little trash talking and the Q&A portion of our conference call today.
Operator: [Operator Instructions]. Your first question comes from Shahriar Pourreza with Guggenheim.
James Kennedy: Sorry to disappoint, it's actually James for Shahriar.
Gale Klappa: That's all right, better looking and younger.
James Kennedy: Yes, exactly. The easier question. So I guess, if we could start on the infrastructure side, you've laid out $2.2 billion going forward. How should we sort of think about the cadence of that? And does the extension of tax credits earlier this month kind of change any of your timing or thoughts there? Any changes in the opportunity set?
Gale Klappa: Happy to answer those questions. First of all, for the 5-year plan, we've laid out $1.8 billion of additional capital in that 5-year plan. As I mentioned in our -- in the prepared remarks that we're going through due diligence on a number of projects right now. We've got a robust pipeline that we're looking at. And because we're so far ahead of schedule on our infrastructure segment right now, we can afford to be very selective and really cherry-pick only the very best projects that meet or exceed our criteria.  So long story short, the cadence will continue. It wouldn't surprise me if we have 1 or 2 more announcements during the calendar year 2021. And then regarding the change in the tax credits, the extension of the tax credits. Really, all that does, I think, is give us even more to look at in the pipeline. It certainly does not in any way diminish our opportunity set.  And remember that we're really utilizing our tax appetite here as a way to continue to grow earnings, continue to improve our environmental footprint and build optionality for down the road when we're certainly going to need in our retail rate base, a more carbon free energy.
Joseph Fletcher: Just so there is no confusion, it is $2.2 billion in the 5-year plan, $400 million of that is the Thunderhead project that has been announced already. The additional $1.8 million is just what hasn't been announced yet. Just so there is no confusion.
Gale Klappa: Yes. We have $1.8 billion to look at. Thunderhead is on its way, we hope, by the end of the third quarter.
James Kennedy: Perfect. And I guess just kind of following on the clean resources side. Since you and Shahriar last spoke, we've seen NextEra formally file at the NRC to extend the life of Point Beach. Have you had any conversations with them yet? Are there any general updates there to think about potential recontracting or retirement?
Gale Klappa: Well, first of all, they're in the very early stages of thinking through what they might want to put together for a life extension at Point Beach. And we have had some very preliminary discussions. But one thing that's very clear from our standpoint and NextEra standpoint, we are going to make the best decision possible from the standpoint of economics for our customers whether that includes an extension of Point Beach, whether that includes an investment opportunity, but either way, I see us having a robust investment opportunity set as we get into the next decade, one way or another.
James Kennedy: Got it. Congrats on the strong finish this tough year.
Operator: Your next question comes from Durgesh Chopra with Evercore.
Durgesh Chopra: I'm clear on the quarter. Thanks for the update on '21. Just on the rate case front, Gale, just -- have you been here before? So have you done this in Wisconsin before, can you just remind us? And what might the options look like? Could you defer the rate increase? Or if I'm thinking about 2022, could you accelerate your cost savings to sort of stay on target with your 5% to 7% EPS growth rate? Just any color around that would be helpful.
Gale Klappa: Sure. Thank you, Durgesh. I appreciate the question. I mean, the short answer is, yes. We have had stay outs before. In fact, if you think about what occurred after the acquisition of Integrys in 2015, we were out of a rate case for 4 years. Again, in constructive discussions with the commission staff and the intervenor groups.  So again, as I mentioned to you, we're in early stages of discussion right now with the commission staff. We will be talking with all the stakeholder groups. The concept would be rather than potentially filing a rate case on a normal schedule this year, the concept would be, is it in everyone's best interest to have a 1-year delay in the filings for our Wisconsin utilities.  And so we're working on what the outline of that looks like and whether or not, again, everyone would agree that it's in the best interest of all parties involved for us to push out, given where we're at with the economy, et cetera, for us to push out a rate filing for one year. And I do believe those conversations are constructive, and we should have a final decision. I would think around the end of the first quarter.
Operator: Our next question comes from Julien Dumoulin-Smith with Bank of America.
Julien Dumoulin-Smith: So listen, incredible cost reductions, right? And so here's what I want to know. How are you guys continuing to reduce costs as you think about this 2% to 3% after a year where so many of your peers already brought down cost, and the question is the sustainability of those cost reductions. So if you could elaborate on that?  And then separately, just to follow-up on the last one, I'll throw it in there. You've already articulated some benefits on O&M. You've talked about your refinancing activities here that certainly have some tailwinds. What other pieces in this -- what other ingredients are there in terms of a stay out here that are relevant in these conversations, if you may?
Gale Klappa: Okay. Great questions, as always, Julien. Well, first of all, related to the sustainability of O&M reductions, let me be very clear. We have continued runway, and I believe strong sustainability for continued O&M reductions. And let me give you 3 reasons why. I mean, the first is, we're pretty damn good at it, number one. Number two, we continue to benefit from putting in common systems across our footprint. Remember, we had the acquisition of Integrys at the end of 2015. Since then, we have done an enormous amount of work to basically put everybody on the same platforms.  We put in a new general ledger for every one of the companies. Just -- Kevin, just 10 days ago, 12 days ago. We completed a major conversion to a brand-new customer information and billing system where all 7 of our customer-facing utilities are now on that system. That is going to drive the optimization of our call centers, significant cost reduction. So number one, we are very, very good at financial discipline.  Our operating folks are just terrific. Every single area of the company as a cost initiative for 2021 and beyond. And really, it's more than a cost initiative, it's an efficiency initiative.  So I feel very good about basically our DNA in terms of continuing to drive efficiency and best practice across the enterprise, number one. Number two, just the continued ability to optimize the organization. We still have a runway to go there, post the acquisition of Integrys. And the example I gave you of a common customer information and billing system, I think, is a very good example of that. And then thirdly, we've announced, as you know, the retirement of a number of older, less efficient coal-fired power plants. There are significant O&M savings that will derive with the retirement of those plants, particularly over 2023, 2024 and 2025. The retirements are really going to come in that time frame, but there are millions of dollars of cost savings as we retire those plants going forward and replace that capacity with much more efficient technology.  So that's a long answer to your question, but I hope it gives you some color on -- first of all, our success at continuing to drive efficiency, but also our -- the reason why we feel that that's sustainable and ongoing.
Julien Dumoulin-Smith: Right. And then in terms of the rate case itself, I mean, it sounds like you've got the key ingredients to justify not going in for a rate increase, I suppose.
Gale Klappa: Well, Julien, if we didn't, we'd be talking a whole different story here. Now we feel good about depending upon everyone's view of whether or not it's in the best interest of the state to us for us to stay out for another year. We feel very good about our ability to do that, again for both our customers and our shareholders.
Julien Dumoulin-Smith: Yes, absolutely. Excellent. And that comment on '23 to '25, that relates to Columbia here, just to tick and tie thing?
Gale Klappa: Oh, gosh, it relates to the four older units at our Oak Creek site. It relates to Columbia. That was our player to be named later in our investor deck. So that's -- because our Wisconsin Public Service subsidiary is a minority or at Columbia, and it relates to a unit as well at Wisconsin Public Service.
Julien Dumoulin-Smith: So it's across the fleet.
Operator: Your next question comes from Jeremy Tonet with JPMorgan.
Jeremy Tonet: Just wanted to kind of start off with a high-level question, if I could. The Biden administration has some new emission reductions goals out there, and I was just wondering if you had any thoughts on them. And if this becomes law, how this might impact WEC?
Gale Klappa: Are you thinking, Jeremy, specifically about the aspirational goal of a carbon-free grid by 2035? Is that your thought process?
Jeremy Tonet: Yes.
Gale Klappa: Okay. All right. Well, first of all, I think if you asked anyone in our industry, you never say never, but that is one tall -- I would kind of elegizes it to a moonshot actually. When you think about what it would take, and again, the pace of technology development can change all of this.  If you think about what it would practically take to get to a full carbon-free grid by 2035, you would frankly have to have the enormous technological change. If you think about what levers could you pull to get there, and they're probably four. One might be huge advancement in modular nuclear. One might be continuing advancement in the cost effectiveness of carbon capture. One might be a breakthrough in long duration battery storage. The other would be hydrogen.  Again, when you look at where hydrogen is at in terms of bid stage of development, hard to think that, that could be widely available as a tool in 2035. Modular nuclear is a long way away being widely available. So that kind of leaves you with carbon capture. It also leaves you with, can there be some more significant advancement in battery technology for longer duration storage. I think those are the elements that we would continue to look at. If I were a betting man, I would say carbon capture is probably further along. But long story short, it's a tall order. And in the meantime, I think the good news is, our industry has done so much already. Our company has done so much already in emission reduction.  Our goals are mirror the goals in the Paris Climate Accord. So regardless of whether we're totally there in 2035, I think we can continue on the path of reducing emissions. We don't need any change in technology to hit our 2030 goal of a 70% reduction. So I'm still optimistic about the path of emission reductions, and we'll see about 2035. But I guess my bottom line message is, never say never, but it would take very significant technology evolution.
Jeremy Tonet: That's a very helpful economic context. I appreciate that. And just one last one, if I could. Just to clarify here. I might have missed it here, but could you confirm if the guide -- the 7% to 8% guide is based off the $3.73, if that's how we should be thinking about the CAGR here?
Gale Klappa: Yes, it's based off the midpoint of our 2020 original guidance, which is $3.73.
Operator: [Operator Instructions]. Your next question comes from Michael Weinstein with Crédit Suisse.
Michael Weinstein: Just a...
Gale Klappa: Your technology may not be doing so good, Michael. Operator, unfortunately, I think Michael cut off there.
Operator: Your next question comes from Michael Lapides with Goldman Sachs.
Michael Lapides: I have two for you. One is, well, one may be for others on the team, one for you. Just curious, for you, there are lots of states that are talking about or putting out restrictions on gas distribution, customer demand growth or that would impact gas distribution volumetric growth. I guess my question for you is, a, what's your view on that in general? It's clearly had an impact on kind of the pure play gas utilities out in the market, but also just how investors and how policymakers are thinking about gas distribution businesses? And are you seeing any of that type of activity in the states you serve?
Gale Klappa: Short answer -- and it's a good question, Michael. Short answer is no. In fact, I believe, in one of the states we serve, there is -- someone is drafting legislation to make sure there is never a ban on the use of natural gas, particularly for home heating.  A couple of thoughts along those lines. And I'm happy to have Kevin, Xia, Scott, give you their view or add to anything that I might say. First of all, the region we serve, our 4 state area with natural gas. Well, let me give you an example. It's going to get according to the weather forecast. 32 below in international falls Minnesota this Sunday. There is not a heat pump in the world or one under development that could keep you warm at 32 below. So the market share for natural gas heating in each of the 4 states where we provide natural gas is huge. And on average -- in Michigan, Wisconsin, Minnesota and Illinois, on average, it's almost a 70% market share. So natural gas for home heating has about a 70% market share. There is a reason for that. It's cost-effective. It's convenient. It's clean. And in these kind of climates, natural gas is really the best alternative.  Now looking way down the road and some have said, well, maybe hydrogen will take the place of natural gas. Well, you still have to get the hydrogen from -- you still have to get the hydrogen to the customers. And as difficult as it would be as difficult as permitting it is as difficult as it is to build infrastructure in this country today, I can't imagine it's practical to develop an entirely new distribution network.  And technologically, we believe, with some slight changes, natural gas distribution network could carry hydrogen fuel. So my sense is that the fear about the future of natural gas is a bit overblown, maybe way overblown. But in a climate like ours, the upper Midwest, natural gas is going to be an important product, I believe, for many years to come. And Scott, we're still seeing very strong customer growth on the natural gas delivery side of the business.
Scott Lauber: Yes, that's correct, Gale. In fact, we are still seeing, especially in Wisconsin, Michigan and Minnesota, about 1% new customer growth, and we saw a large customer even switch over in the fall from using coal in their industrial process over to natural gas. So we're still seeing really good growth on the customer side and natural gas.
Joseph Fletcher: I don't also we're seeing conversions from propane still as well. So in our geographic area, gas will be a part of our future for the near future.
Gale Klappa: That's a very good point. If you look at market share, I mentioned about a 70% market share for natural gas, propane is in our 4 states, the next most used fuel source. So yes, and people are moving off of propane over to our gas distribution network. Michael, I hope that responds.
Michael Lapides: No, that's super helpful. Just one quick follow-up. Whether organically, meaning via growing the rate base faster than your current plan or inorganically, would you be willing to help the mix of the earnings power of the company even more towards being more towards gas versus electric?
Gale Klappa: Michael, you never say never, but when I think about capital allocation and when the four of us, when Xia, Scott and Kevin and I look at our opportunities with our team, we see so many significant investment opportunities on the electric side. But I don't -- practically, I think our set of investment opportunities is even greater as electrification continues and as the push towards renewables continues. So again, you never say never, but our investment opportunity set, I think, is even more significant on the electric side. That's where our capital allocation will continue to grow.
Michael Lapides: Got it. And then last one, if you pardon me. Can you ever disclosed or would you disclose what you think your excess balance sheet capacity is? Meaning how much incremental more investment, whether on the infrastructure segment or at the core utilities in Wisconsin or Illinois or elsewhere, how much incremental investment could you make with your current balance sheet and expected balance sheet before it would require you to seek other external financing that's not just debt financing?
Gale Klappa: So how much more can we do if we were to issue more equity or not issue more equity?
Michael Lapides: Yes. I guess, not issue equity. Like do you have excess balance sheet capacity? Do you have the ability to raise your capital plan without actually having the issue?
Gale Klappa: Well, I'm going to ask Xia to give her view of this as well. I'll give you my overall kind of high level opinion, and that is that we try to marry our capital plan against 3 very important criteria. The first is what is the need? I mean, we're in a -- most of our assets are regulated assets. You have to prove the need to make those investments. So number one, what is the need?  Number two, how do you finance it and maintain the solid credit metrics that we strive to maintain and have maintained. As you know, we have one of the stronger balance sheets in the industry, and we intend to keep it that way. And then number three, if there were an opportunity, would it require more equity, but long story short, we really try -- we really try to balance the need and the financing to maintain the kind of credit quality. Xia?
Xia Liu: Yes, I totally agree. I think I would just add 2 more thoughts. One is, WEC, you heard me say all the utilities met the financial goals in 2020. Actually, that has been a track record. So in terms of putting money to work, and we deploy $3 billion a year. We earn our allowed ROEs at the utilities, and you generate very healthy internal cash as a result. So that's number one.  Number two, you heard us say that for the WEC infrastructure investments, we're very much focused on using our own tax appetite. We focus on the time horizon when we could get the cash back. And we just tried to take advantage not only the investment opportunity, but also the cash flows. So I think, overall, the combination of strong utility performance and the ability to recover the cash from the WEC infrastructure investment, I think, really allows us to continue to be on the trajectory that we have been on.
Operator: Your next question comes from Steve Fleishman with Wolfe Research.
Steven Fleishman: So just a question in Wisconsin related to the coal shutdowns and regulatory treatment. Could you just remind us what you've done so far with that? And would something related to that potentially be in your stay-out agreement? And how you're kind of thinking about that overall?
Gale Klappa: Yes. Good question, Steve. First of all, if we were to come to a stay-out agreement, it would not involve any discussion or any delineation of a retirement of coal plants because it's outside of the rate case window right now. So again, we're talking about 2023, 2024 for the majority of the retirements that we're talking about, including the one of Columbia that was just announced by Alliant. So there would be no need to address the coal plant retirements in any kind of a stay-out arrangement, if I'm making any sense to you.  Secondly, if you think about what we have done, so we've retired a fair amount of capacity already. We've retired, I think, 65% of our coal-fired capacity since about 2015. And in essence, the unrecovered book balance of those plants has been fully recovered with the exception of $100 million of unrecovered book balance at Plaza Prairie, which is a large coal-fired power plant in Southeastern Wisconsin. That was our most recent retirement. That $100 million is being securitized, in fact, expect to be -- to have a securitization offering this year.
Steven Fleishman: Okay. Great. And just one other question is on -- we're going to have a new FERC ultimately Democrat majority. And I'm just curious if you have any thoughts on whether there could be another change in transmission policy or ROEs? Or you think it will stay relatively stable?
Gale Klappa: Steve, I'm guessing relatively stable, if not up. And the reason for that is, when you talk to -- as we have, when you talk to people early now in the Biden administration, there is enormous focus on incentivizing renewable development, as you know, an enormous focus. And I think the point he is that we will see that the Federal Energy Regulatory Commission. I'm guessing, we'll fully understand that you're not going to reach the administration's goals for renewable development without further incentivizing transmission development. Those 2 go hand-in-hand, chicken and egg. I mean, it's got to be done. So it would be almost counter to a huge tailwind to public policy to try to do anything from here that would not continue the return incentives for needed transmission. So my guess is that the overriding public policy will keep things stable or -- at least stable, if not positive at FERC.
Operator: Your next question comes from Neil Kalton with Wells Fargo.
Neil Kalton: I'm just curious, EVs have been a pretty hot topic recently, right? All in the news. And I'm wondering how you guys are thinking about your investment opportunity around EVs. How soon you need to start planning for the system? Is this 8 to 10 years out? Are there going to be quicker knees? Just any kind of insight into how you're thinking about it?
Gale Klappa: Okay. Great question, Neil. Well, first of all, the current governor and the current gubernatorial administration here in Wisconsin has a very keen understanding that in order for the state to continue to make progress on CO2 reductions, there has to be a much stronger pickup in terms of electric vehicle penetration. I've heard that. I mean, I've had probably 3 discussions with the governor about this, and he really, really believes that's the case. So do I. So long story short, we have -- there are 2 things going on. First of all, we have filed a modest proposal for EV infrastructure that's pending before the Wisconsin Commission right now. And in addition to that, the Wisconsin Commission has opened up or is opening up a generic proceeding. What is it they should be broadly looking at to try to advance the governor's objective of an accelerated pickup in electric vehicle market share. So very early right now, but we do have a pilot that we've suggested that's getting regulatory review right now. And Scott, do you want to give just a couple of details on that filing?
Scott Lauber: Yes. So we've got a pilot out there. It's about $50 million. We provide a couple of alternatives on how to also support some of the lower income areas of the state that maybe all to help put some of that infrastructure or support that, whether it's through buses or some other ideas there. So it's in the really early stages, but it would be somewhat of a rebate program that would help actually put some chargers in individual houses.
Gale Klappa: So early days.
Scott Lauber: Kevin?
Joseph Fletcher: Some of our larger customers who are looking at the EVs and looking at what they want to do in their fleet longer term, so we've got a close relationship with them, and we'll continue doing that in the day-to-day.
Gale Klappa: Kevin makes a good point. We've actually seen a pickup, and we're advising a number of our larger commercial customers who are either thinking about switching over to an all-electric fleet or who have other needs as EV penetration begins to pick up. So again, very early days. I don't think you'd see any major impact on our earnings in terms of EV penetration in our region, probably until very late in the 2020s.
Joseph Fletcher: And I'll add a statistic that I looked at here recently. Present day electric CO2 emissions at 34%. Transportation, which we're just talking about, is 37%. So just a little bit more already today.
Gale Klappa: Yes. Kevin is making a good point. Both in our region and nationally, the utilities have done so much that essentially, transportation is now the largest contributor to CO2. It has surpassed or we've cut more. And so transportation is now the largest contributor, not the utility industry. I'm sorry, Neil, go ahead.
Operator: And your final question comes from Michael Weinstein with Crédit Suisse.
Michael Weinstein: Can you hear me this time?
Gale Klappa: We can.
Michael Weinstein: A quick question about the extension of the ITC and the PTC that just got passed in December. And it looks like it -- there is a decent chance you might have any further extensions going forward. Could we -- I guess, the increased economic benefits from the tax credit extensions? Could that change your view on the targeted business mix between infrastructure and utilities? Could you increase your desire for more projects?
Gale Klappa: It's a great question, Michael. I will tell you this. We have really tailored up to now. We've really tailored our appetite, no pun intended, for growing the infrastructure business. We've tailored that to 2 things. The availability of very high-quality projects with strong credit quality offtakers, but also our own tax appetite. So to the extent that our tax appetite is what we projected it to be, and the pace of that business growth will be exactly what we've talked about. On the other hand, we were just talking about this the other day, actually. If we see an increase in the corporate income tax, which some have proposed, as you know, as part of the Biden plan, then we might have a stronger tax appetite. And if you couple that, meaning a stronger tax appetite, with the extension of these ITCs and PTCs, there may be a greater opportunity there. But long story short, all of that would have to fall in place. Right now, we're working on the plan we laid out.
Michael Weinstein: That makes total sense. One other question, too. If you do get a 1-year delay for the rate filing, would that -- could we expect to see like an increased target for O&M savings this year beyond what Scott laid out earlier in the call?
Gale Klappa: No. No. Because remember that, that is all about 2022. All right. Well, I believe that's our final question for the day. We really appreciate you taking part in our conference call. Thank you again for participating. And if you have any more questions, if you'll clear the contact Beth Straka on direct line, which she gives out to only a few of you. Her direct line 414-221-4639. Thanks, everybody. Take care. Bye-bye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.